Operator: Good day, and thank you for standing by. Welcome to the Athersys Second Quarter 2021 Results Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Karen Hunady. Please go ahead.
Karen Hunady: Thank you, Jerome, and good afternoon, everyone. I'm Karen Hunady, Director of Corporate Communications and Investor Relations for Athersys. Thank you for joining today's call. If you do not have the copy of the press release issued at the close of market, it is available on the Athersys' website at athersys.com. I'm here with B.J. Lehmann, our President, Chief Operating Officer and Interim CEO; and Ivor Macleod, our Chief Financial Officer.  A webcast of the audio will be available 3 hours after the call's conclusion on our website under the Events section. The access information for the replay is also in today's press release. Any remarks that we may make about future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by the forward-looking statements as a result of various important factors, including those discussed in our Forms 10-Q, 10-K and other public SEC filings.  We anticipate that subsequent events and developments may cause our outlook to change. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so. For the benefit of those who may be listening to the replay, this call was called and recorded on August 9, 2021. Since then, we may have made announcements related to the topics discussed so please reference our most recent press releases and SEC filings.  With that, I would like to turn the call over to B.J. Lehmann. B.J.?
William Lehmann: Thanks, Karen. I'm B.J. Lehmann, President, COO and Interim CEO of Athersys. In our call today, I will share an overview and some details of our recent corporate business and operational activities. Ivor Macleod, our Chief Financial Officer, will then provide an update on our company's financial position, and this will be followed by Q&A. We will turn shortly to our recent announcements regarding our partnership with Healios and the ONE-BRIDGE ARDS study in Japan. Before this, I would like to describe briefly how we are tracking relative to key goals and milestones for the year.  First, as we will discuss in a moment, we have resolved open issues and put in place an enhanced collaboration structure with our partner, Healios, intended to best position us in a MultiStem cell therapy for regulatory and commercial success in Japan over the long term which was an important objective for us in the first half of the year. On the data front, as we expected, Healios reported out top line data from the ONE-BRIDGE study, and they appear to be on track with their TREASURE ischemic stroke study. Back Helios noted in their Q1 financial results that at the time, they were in the process of finalizing enrollment.  As described in our last earnings call by Dr. John Harrington, another priority for the company this year is to make substantial progress in establishing large-scale bioreactor manufacturing to support eventual commercialization efforts in anticipation of receiving regulatory approvals for the MultiStem product. We continue to make good progress and have recently initiated the process of transferring our larger-scale 500-liter bioreactor process, to a qualified GMP manufacturing facility. Though these efforts naturally will take some time to complete, this represents an important milestone for the company.  Finally, we have made progress in our MASTERS-2 study, increasing enrollment and adding more sites during the second quarter. We are poised to further ramp up our efforts during the second half of the year. We are advancing on other fronts as well. We continue with our MACOVIA ARDS and the matrix trauma studies and plan to incorporate MultiStem product manufactured in bioreactors into these studies during the second half of the year. And though we have some time, we are moving forward with commercial planning and preparations for the U.S. and European markets on top of the support we are providing to Helios for the Japanese market.  In addition to our work to prepare for commercial manufacturing, our efforts in this area are focused on developing our strategy for reimbursement in the United States and executing the first steps of this strategy and securing the best possible partner to develop the European markets with us for all MultiStem critical care indications.  As we have noted in recent calls, our current view is that we would be in the best position to find the right partner and the right deal with additional data from ischemic stroke clinical development in hand. In short, though, we will continue with current discussions, however, we would not anticipate entering into a deal until next year after top line data from the TREASURE study has been disclosed.  In general, our ex-U.S. commercial strategy, including Japan and Europe, will be founded on partner commitment and execution with partner investment, risk sharing and share rewards. We believe that this approach offers the company and our shareholders an attractive balance of risk and reward. Let's now turn to the top line ONE-BRIDGE ARDS study results reported by Healios last Friday. We are enthusiastic about what we have seen so far from the results. We believe that the ONE-BRIDGE study results, together with our prior clinical study data, may allow Healios to move forward with an application for marketing approval in Japan for this orphan indication. Though ongoing consultations with the Japanese regulator will be definitive.  With this data and our MUST-ARDS clinical results and other research data, we also remain confident that MultiStem treatment can have a meaningful therapeutic benefit for ARDS patients. Let's start with some background information on the study design before we speak to the preliminary results. The ONE-BRIDGE study is an open-label trial with 2 patient cohorts. The first cohort includes 30 pneumonia-induced ARDS subjects with 20 in the MultiStem treatment group and 10 in a parallel standard treatment control group. A second cohort was added to include 5 COVID-induced ARDS patients who received MultiStem administration.  By comparison, our previous MUST-ARDS study was a double-blind placebo-controlled study, also with 30 subjects in the efficacy group with 20 subjects receiving MultiStem treatment and 10 subjects getting placebo. Over 70% of the patients in the MUST-ARDS efficacy cohort had ARDS resulting from pneumonia, making the 2 studies similar. There were no COVID-induced ARDS subjects in the MUST-ARDS trial. However, our ongoing MACOVIA study includes COVID-induced ARDS patients.  Healios reported higher ventilator-free days over a 28-day period and lower mortality in the MultiStem treated group compared to standard therapy in cohort 1. VFD of 20 days versus 11 days and 90-day mortality of 26% versus 43%, respectively. This data is consistent with the results from our MUST-ARDS trial for all subjects in the efficacy group and also for the patients with pneumonia-induced ARDS.  Additionally, Healios reported 25 ventilator-free days and no mortality in its COVID-induced patient cohort, which compares favorably with expectations for the severe ventilator-dependent COVID-pneumonia patient population based on recent data in the field and according to Healios. Even in view of the limitations of the study, namely its size and open-label design, we view the data is very promising and supportive of our therapeutic hypothesis that MultiStem treatment can attenuate the severe inflammatory activity associated with ARDS and can lead to greatly improved clinical outcomes.  We look forward to further analysis, other exploratory data and the 180-day follow-up data from the ONE-BRIDGE study. Additionally, we will work closely with Healios to support regulatory and manufacturing preparations to move the ARDS program forward in Japan.  As noted earlier, our MACOVIA study is moving forward. We have made some modifications to design to allow us to include in the study patients with ARDS induced by pathogens other than COVID. We will continue to closely monitor changes in treatment practices and the patient population as COVID ebbs and flows to ensure that our trial design and objectives are optimally in line for long-term success in this area. We are bullish on MultiStem's potential for treating ARDS patients and look forward to continuing to develop -- continuing development in a measured pace to take advantage of new information.  Athersys and Healios jointly announced last week new agreements to enhance and expand our collaboration in Japan as Healios moves closer to potential commercialization. The changes reflect better clarity gained over the past couple of years about Japanese regulatory manufacturing and commercial requirements, in short, the elements important successful commercialization in Japan.  The agreements are intended to align the collaboration structure to drive optimal investments and efforts in manufacturing and commercialization. In particular, we are creating the mechanisms and incentives for Healios to take on greater responsibility for manufacturing for the Japanese market and to invest robustly in the commercialization efforts in Japan. We believe that this will allow us to focus our resources on our large-scale advanced manufacturing activities and development, particularly in the United States and Europe, while giving us the opportunity for a very attractive return from Japan over the longer term. There are a number of important elements to our improved commercial partnership. First, we will provide Healios access to Athersys' manufacturing technology to use with qualified manufacturers to make the product for the Japanese market. As an important first step, this would include working directly with Nikon CeLL innovations, which is prepared under our guidance for manufacturing and MultiStem product for commercial use in Japan.  This would also allow Healios to invest directly in commercial manufacturing preparations and product supply and for Athersys to employ capital that would otherwise be debated for this purpose, for advanced manufacturing and other development activities. We will help shoulder the burden of this investment by Healios through deferrals and other adjustments to near-term financial elements of the license agreement, including milestones and royalties, which would now be realized over time with manufacturing and commercial success in Japan.  As our larger scale bioreactor-based manufacturing comes online and is approved for commercial use in Japan, we would plan to supply MultiStem product to Healios under commercial supply agreement. Second, Athersys and Healios have clarified Athersys' role in providing support services, necessary for regulatory approvals, manufacturing readiness and commercial launch in Japan. Importantly, we have put in place a framework for defining the services to be provided, expectations and timing related to the services in terms of reimbursement, where it is appropriate. We believe that this will allow Healios and us to work together much more efficiently and effectively.  Third, our license with Healios is being expanded to include potentially 2 additional indications to be selected over the next several years under certain conditions. This would enable Healios to leverage further its investment in developing and commercializing the MultiStem product. It would also provide to Athersys additional revenues from this important market.  Fourth, to increase alignment between the companies and create further incentives for accelerated execution and investment, we have added new financial elements to the arrangement. Athersys while the potential to receive $8 million of new milestone payments from Healios, tied to commercial manufacturing preparations for Japan and the establishment of large-scale manufacturing relevant to Japan.  And Athersys will issue to Healios warrants to purchase up to 10 million shares of Athersys' common stock exercisable for 60 days following regulatory approval for ARDS and ischemic stroke, respectively. The 3 million share ARDS warrant would be exercisable between $1.80 and $2.18 per share, depending on the timing of exercise and the 7 million shares stroke warrant would be exercisable at between $2.40 and $2.64 per share, again, depending on the timing of exercise.  Finally, outstanding claims and disputes between the parties have been released or resolved. On balance, we believe that this new arrangement puts Healios and Athersys on a much better footing to successfully develop the Japanese market, bring important new therapies to patients and creating significant value for both companies. We look very much forward to positive progress in Japan on the ARDS regulatory path and with TREASURE and the ischemic stroke program.  With the top line ONE-BRIDGE ARDS data in hand, we should begin to set our expectations for the upcoming results from the important TREASURE study, evaluating MultiStem administration to Japanese stroke patients. This study is expected to have data from over 200 stroke patients randomized on a 1:1 basis to treatment with MultiStem cell therapy or placebo within 36 hours of the stroke. This compares to the 126 patients from the double-blind placebo-controlled MASTERS-1 study completed by us in the United States -- in the United Kingdom, of which about half of the patients were treated within the optimal 36-hour post-stroke treatment window for MultiStem.  As such, the TREASURE study will provide us with substantially greater power to evaluate the impact of MultiStem treatment in ischemic stroke patients. What is more, the TREASURE study, like its MASTERS-2 cousin, running in parallel in the U.S. and other countries, reflects in its design, other key improvements from the MASTERS-1 study, such as noted above, earlier administration from 18 to 36 hours post stroke and better patient screening. Both the TREASURE study and the larger MASTERS-2 study with 300 patients are similar in design and underlying assumptions.  Based on differences in regulator preference, the 2 studies have different primary endpoints, excellent outcome in Japan versus modified rank in scale shift analysis in the United States. But overall, they each collect, track and analyze essentially the same data. Based on these factors, we expect the TREASURE study to be an important indicator for the ischemic stroke program. However, we might expect some differences between the TREASURE and the MASTERS-2 studies.  For example, in general, the stroke population in Japan is on average older than the stroke population in the United States and Europe. And there are some differences in post-stroke treatment such as in the utilization of PPA and mechanical thrombectomy. We take comfort though, in our data from the MASTERS-1 study, demonstrating meaningful benefit for MultiStem treatment in older patients and in patients with or without reperfusion therapy. We look forward to the TREASURE top line results, which we hope to see potentially before the end of the year, and we look forward to Healios' upcoming disclosure about their plans for analyzing and reporting such data.  Thus far, our corporate update has been focused on our priorities for the year. Our critical care programs and the announcements from last week, all very important topics to cover today. However, it's important to keep in mind that we have ahead of us opportunities beyond what we have touched on today. We have technologies, which we believe can be developed and applied to many diseases and conditions.  In other words, we believe we have a platform of opportunities. And we have prioritized our MultiStem critical care programs. We have conducted promising research in many other areas, publishing many aspects of this work, and we have developed other enabling technologies with applicability to cell-based therapies more generally. We believe these technologies and applications could help many people and create significant value for our shareholders over the long term.  We remain focused on the task immediately in front of us, but we will continue to cultivate the broader opportunities that would create value over the longer term. I will now turn it over to Ivor for an update on our financial results.
Ivor Macleod: Thank you, B.J. Good afternoon, everybody, and once again, thank you for joining today's call. I am Ivor Macleod, Chief Financial Officer of Athersys, and it is my pleasure to give you an overview of the financial results for the second quarter of 2021. For the 3 months ended June 30, 2021, we recognized no revenues compared to $84,000 for the 3 months ended June 30, 2020. Our collaboration revenues currently fluctuate from period to period based on the delivery of goods and services under our arrangements with Healios. Research and development expenditures were $17.7 million for the second quarter of 2021 compared to $13.8 million for the comparable period in 2020.  The $3.9 million increase is associated with increases in clinical trial and manufacturing process development costs of $2.6 million. Personnel costs of $800,000, facilities costs of $300,000 and other costs of $300,000. Our clinical development, clinical manufacturing and manufacturing process development expenses vary over time based on the timing and stage of clinical trials underway, manufacturing campaigns for clinical trials and manufacturing process development projects.  General and administrative expenses decreased slightly to $4.2 million for the 3 months ended June 30, 2021, when compared to $4.4 million in the comparable period in 2020. The decrease was primarily related to lower stock compensation costs. Net loss for the second quarter of 2021 was $22.6 million compared to a net loss of $18.4 million in the second quarter of 2020. The difference is primarily a consequence of the previously mentioned variances.  During the 6 months ended June 30, 2021, net cash used in operating activities was $37.2 million compared to $24.9 million in the 6 months ended June 30, 2020.  At June 30, 2021, we had $56.7 million in cash and cash equivalents compared to $51.5 million at December 31, 2020. We believe that our cash on hand is sufficient to fund our near-term priorities. While our preference in the future is to secure nondilutive financing, for example, through business partnerships we have in place an equity line of up to $100 million, which we can draw upon to the extent necessary.  I will now pass the call back to B.J. for the question-and-answer session. B.J.?
William Lehmann: Okay, we'll take some questions.
Operator: [Operator Instructions]. Your first question starts from the line of Greg Harrison of BofA Global Research.
Unidentified Analyst: This is Bill Mone [ph] on for Greg. So two questions from us today. Can we have an update on the status of MACOVIA enrollment? And are you seeing any impact from the increase in COVID-19 cases recently?  And second, what results are you looking for from the TREASURE trial to increase confidence in your stroke program? Is it as simple as it is still significance? Or is there something more nuanced or detailed that you're looking for to really inform your view of program?
William Lehmann: Sure. With respect to your first question on MACOVIA, we continue to enroll in the MACOVIA study. It's moving forward. We have a number of dedicated sites focused on the study. With respect to the impact of COVID, there's certainly more patients that are coming through the pipeline. All the severity levels are not integrated with a lot of the breakthrough cases and so forth. In any event, though, MACOVIA is moving forward. As you know, and as we've discussed, we've expanded the study to include patients outside of COVID. So in the end, what we are aspiring to do with that study is they have a good blend of COVID-induced patients, but also ARDS patients that have developed ARDS as a result of other pathogens and so forth.  So we're moving forward on that study. It's a relatively large study with a couple of different groups. So though this COVID increase would be expected to have some impact, it's hard to say how durable that will be over time. With respect to the TREASURE study, as I was indicating in the comments, we do believe that this study would be pretty important for us in terms of learning about the potential impact that we might expect to see in the MASTERS-2 study.  Naturally, we would like to see statistical significance in the TREASURE study. We believe the study is powered to show that. As I noted, there could be some differences in the patient populations perhaps in average age. In the Japan stroke population is a bit higher than it is in the United States. It could have some impact, some differences in standard of care. In the end, we don't think that's going to change the outcomes in a substantial way because we've seen benefit in those older patients and without reperfusion therapy in our MASTERS-1 study.  It's possible that even without significance and in fact, we would look to this, if there are trends, positive trends with respect to benefit, looking at outcomes like excellent outcome, the modified rank in scale and the impact on that in patients treated versus placebo. We'll be looking at those kind of metrics, along with other secondary endpoints in clinical outcomes, hospitalization and the like to give us comfort with respect to the study masters to and how the outcomes would be.  So I think our general view is we don't necessarily need to see statistical significance from the TREASURE study. I feel confident with respect to the study that we have designed. MASTERS-2 has got 300 patients, so it's got even more power than the TREASURE study. But what we expect to see as a minimum is trends in some of the important primary and key secondary end points, which would, in our mind, kind of validate what we're trying to accomplish with MASTERS-2 and be a very strong leading indicator about the potential outcome of that study.
Operator: [Operator Instructions]. The next question as from the line of David Hoang from SMBC Nikko Securities.
Unidentified Analyst: This is Maya [ph] on for David. I have a couple of questions. Could you provide us with some more color on the update for the Healios partnership, which was announced last week? What kind of support will be providing Healios on manufacturing, regulatory and commercial readiness?  And the second question would be on the cadence of endowment for [indiscernible] run by [indiscernible]? Would you have any granularity on the top line results and expect it a readout?
William Lehmann: Okay. The second question, I wasn't 100% clear on. I think with respect to the first question, maybe I'll address that and we can come back to the second question. I think the first question is focused on the types of support that we would provide Healios moving forward on the regulatory and manufacturing front. And okay, I can speak to that pretty directly.  As you can imagine, we have a great deal of knowledge about our product. We have a very deep knowledge and experience with respect to interactions with regulators, in particular, in Europe, in the United States. So we've turfed many of the questions and issues that would come up in the normal processes. We've been involved in the Japanese regulatory processes with Healios and even before Healios.  So we have kind of deep perspective on the regulatory front. And in addition, of course, we have been involved directly with the manufacturing of our product. We've used outside CMOs with GMP capacity to manufacture our product, and we're continuing to work with outside CMOs to do the same as we transition into bioreactor in larger scale production. So we do have very deep expertise on those fronts.  So in those areas, with respect to Healios activity and building for success in Japan, we will do what we need to do to assist Healios in the regulatory discussion if that is providing information that we have about the product or outperforms in different studies. If it's providing consultation with respect to how to position data or arguments or respond to questions from the regulators in Japan. We will provide that support.  And we have a great interest in that, and we're highly motivated to do that because if Healios is successful in moving forward through the regulatory process, application and approval, that gets us closer to a return from the Japanese market. So we're highly motivated to support that. On the manufacturing front, one of the key aspects of the renewed and improved partnership that we have is to enable Healios to manufacture product for Japan. And that allows us over time to focus our resources on some of the larger scale bioreactor manufacturing that's going to drive larger commercial opportunity in the United States and Europe and ultimately supply product back in Japan.  And to do that, not only will Healios be investing in some of that manufacturing, which is very beneficial to us. But they need to be up to speed and in full control of the manufacturing activities. And so we will provide support, tech transfer support, as an example, consultation with respect to manufacturing processes, et cetera, to be sure that they are enabled to manage manufacturing with qualified CMOs and that they are doing the right things to maintain product performance, quality, and importantly, the intellectual property built into the technology. So those 2 things will be key areas of support for us.  And in essence, while we're going to continue to support the activity in Japan, we get a lot of value from that. Healios is going to be taking on increasing responsibility with respect to certain aspects that we would otherwise be carrying a load on. So that's the first question.  So the second question, I wasn't 100% clear. It sounded like you were asking for enrollment update or do you mind repeating your question?
Unidentified Analyst: It is regarding the cadence of enrollment for MASTERS-2 and MACOVIA. And do you have any idea about the top line results of respective readout?
William Lehmann: So I'm going to address what I think I heard. I think you were asking about updates on enrollment with respect to the MACOVIA study or MASTERS-2 study, address those briefly. I addressed -- I talked about MACOVIA just a few minutes ago. As we've discussed in the past, we have a study design in the MACOVIA study that's got multiple phases, and it's a rather large study, really intended to allow us to develop efficacy data that could become part of an application for approval.  And we're moving forward with the study. It will take some time to run the study even with increases in COVID incidents in the United States and Europe. So we're going to continue to move that forward. We have been moving that study forward at a measured pace, largely for strategic reasons. And that is there have been fairly significant changes in the standard of care and in the patient population, particularly in the COVID patient population over the course of the study.  And we want to make sure that we understand where the dust is going to settle with respect to this particular study in the patients so that when we get to the larger efficacy part of study, a Phase III type part of the study, we are optimally set up, the designs align for us to demonstrate efficacy from treatment with MultiStem in the ARDS population So that is moving forward at a measured pace at the moment even though the COVID incidence has increased as we've seen in the news.  And MASTERS-2, as I mentioned, we are adding to enrollment. We are poised to really crank this up in the second half of the year, I think, as we projected in our last call, that's still the plan. I think in our next quarterly call, we'll be able to report back to you on our execution progress on that front. And we may even have some perspectives about how that translates into the future with respect to enrollment goals over time, completion of the study, et cetera. But we need to have a little bit more data under our belt as we crank this thing up. So hopefully, that addresses your questions.
Unidentified Analyst: Yes. It does.
William Lehmann: Okay. Okay. Well, thanks. Yes, just a couple of other points. There have been a couple of questions that have been submitted by shareholders that I thought I addressed here that we haven't addressed in my comments or in the questions from the analysts. And I thought I would focus on a couple of these topics briefly before we wrap up.  Number one, we've gotten a host of questions from shareholders about the status of our CEO search. We addressed this in our last call. And I can say this, we have -- the CEO Search Committee of the Board has seen some very, very good candidates for the position. We're in ongoing discussions with many of these candidates, and we feel very confident that over time, we will be able to attract outstanding CEO, who can help lead us into commercialization. It will take some time to get that done. We want to find them the right person to take on that leadership role and move the company forward in that direction. So that's ongoing. When we have more specific information that provides our shareholders about progress on that front, we will provide that.  Let's see. We've addressed the COVID resurgence, which was a recurring theme. There have been a number of questions about the details of the Healios agreements. We provided a little bit more detail in our comments today. The 10-Q has got more detail in there. And I think, as many of you know, the standard requirement practice for us is to submit material agreements such as these are as exhibits in our quarterly filings. So this is a third quarter event. And so those agreements would be submitted as exhibits to those filings in November. So that additional detail will be available there.  And then we've had a number of questions, and this will be the last kind of topic that I'll address in terms of the question, but there have been a number of questions from shareholders about partnership and impact of this data and more generally, the status of the discussions. I addressed some of that in the comments that I've already made. But let me say this, we've been in discussions with parties interested in ARDS, parties interested in stroke, parties interested in critical care more generally, folks that are interested in other indications. We've been in discussions with potential partners that have global perspective or are more European-focused.  The ARDS results from Healios will be considered a derisking event. And so I think we'll have some discussions on those partnership conversations we're having that are focused more on ARDS. As I said in my comments, I think, the stroke data from TREASURE will also be considered a derisking event. And I think our general view is for the type of partnership we would want, which would include stroke and ARDS and critical care more generally in Europe. That derisking information is going to be important to pushing us forward to get the kind of partnership we want, the right partner, the right business deal that we can be satisfied bringing back to the -- to our shareholders is representing the best possible deal to allow us to create value and reach the most patients possible.  So we're making progress. And I do think these events and the success in Japan is going to be helpful in those discussions, and we'll keep you up-to-date as those things advance.  Okay. Now with that, we'd like to wrap up the call today, and thank all of you for participating. We really appreciate the support. The questions that you send our way, we try to be as responsive as we can be. We've been very, very busy working with Healios over the last weeks and couple of months. So we may not have been as responsive as we might have been otherwise. But we really appreciate your interest and your continued investment in the company. We are working very hard to move the company forward. We have some very important events ahead of us, and we look forward to discussing the results and accomplishments over the next couple of quarters with you. So thank you again, and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.